Operator: Good morning, and welcome to Newmont Mining First Quarter 2012 Earnings Conference Call. [Operator Instructions] Today's conference is being recorded. If anyone has any objections, please disconnect at this time. I'd now like to turn the call over to John Seaberg, Vice President of Investor Relations for Newmont Mining Corporation. Sir, you may begin.
John Seaberg: Thanks, operator, and good morning, everyone. Welcome to Newmont's First Quarter 2012 Earnings Conference Call. Joining us today are Richard O'Brien, President and Chief Executive Officer; Gary Goldberg; Executive Vice President and Chief Operating Officer; Russell Ball, Executive Vice President and Chief Financial Officer; and other members of our executive leadership team. Before we begin, I'd like to refer you to our cautionary statement on Slide 2. We will be discussing forward-looking information which is subject to a number of risks as further described in our SEC filings which can be found on our website at newmont.com. And now I'll turn the call over to Richard O'Brien.
Richard T. O'Brien: Thanks, John. For those of you on the webcast, we'll begin on Slide 3. As we announced last year during our Investor Day in New York, we continue to focus our efforts on offering shareholders a combination of competitive production growth and returns, exploration upside, balance sheet strength and a commitment to return capital back to shareholders. Our first quarter financial and operating results supported our efforts in each of these areas, with consolidated revenue of $2.7 billion, up 9% from the prior-year quarter; operating margins, up 29% on a 22% increase in the average realized gold price of $1,684 per ounce; stable gold production of 1.3 million ounces; operating costs well within our guidance; and a 75% increase in our dividend over the prior year's quarter to $0.35 per share. We are maintaining our 2012 outlook for production, costs applicable to sales and capital spending. Regarding our exploration upside, we continue to see the potential to add the equivalent of 90 million ounces of gold to reserves between 2011 and 2020. And in 2011, as disclosed previously, we made significant progress by adding 11.6 million ounces of gold to reserves or approximately 10% of that target. Our balance sheet continues to strengthen and to provide additional financial flexibility. We recently took advantage of favorable debt markets to raise $2.5 billion of senior notes, to repay borrowings and replenish the balance sheet. Russell will speak to this in a few moments. Turning to Slide 4, as many of you know, our growth potential includes a number of new projects, including the Akyem project in Ghana where construction is now 40% complete and going very well. Our growth potential also includes our Conga project and other projects in Peru. As most of you have heard, the Conga project's environmental impact assessment, which was previously approved by the central government of Peru in October 2010 after an extensive public engagement process, was subject to a review by independent experts during the first quarter of 2012 at the request of the central government. The results of the independent review were released last week and confirmed that the EIA met Peruvian and international standards. The report also goes on to recommend, among other considerations, that we assess the technical and economic feasibility of relocating the Perol waste dump in order to try to preserve the Azul and Chica lakes. We are currently in the process of evaluating the recommendations contained in the independent report and additional recommendations from the government to assess the future impacts on the project's economics. Conga is a significant investment in Peru and would be, we believe, a catalyst for economic and social development in the Cajamarca region, while also protecting water quality and providing year-round water availability for downstream users. Conga's development would be a significant source of revenue for the government of Peru, along with significant employment. We've been privileged to work in Peru for more than 20 years, and we want to continue to be part of the government's social inclusion efforts and the development of the country through responsible mining. If Conga cannot be developed, though, in a safe, socially and environmentally responsible manner while also earning our shareholders an acceptable return, then we will reallocate that capital to other development projects in our portfolio, including opportunities in Nevada, Australia, Ghana and Indonesia, and we can combine that with a possible return of additional capital to shareholders. Now I'll turn the call over to Russell Ball to discuss our first quarter financial and operating results.
Russell D. Ball: Thanks, Richard, and good day, everyone. Slide 5 contains the financial highlights, what I consider a solid quarter with a nice positive in regard to operating costs. Adjusted net income of $578 million, or $1.17 a share, was slightly ahead of expectations, driven largely by those lower operating costs. A reconciliation of adjusted net income to net income reported under U.S. GAAP is included as an appendix on Slide 22 and reflects a $71 million charge, net of tax benefits of $4 million, for discontinued operations from an increased accrual related to the Holt property royalty. More detail on this can be found in Note 10 on Page 11 of the 10-Q. And in addition, a write-down of $24 million in marketable securities acquired through the Fronteer acquisition in 2011, net of the miscellaneous asset sales. Cash from continuing operations of $613 million for the quarter was off 38% from the year-ago quarter, largely due to working capital changes. I'll provide some color on this shortly. Moving to Slide 6, attributable gold production of 1.3 million ounces is essentially in line with a year ago despite a much lower contribution from Batu Hijau. Gold costs applicable to sales of $620 an ounce, while up 11% from the year-ago quarter, were approximately $20 an ounce below budget for the quarter. More on that in a moment. Our gold operating margin continues to expand with a 29% increase to $1,064 an ounce on a 22% increase in the realized gold price to $1,684 an ounce. Slide 7 provides more detail on the decrease in operating cash flow from the year-ago quarter. As you can see, we benefited by almost $400 million from a higher realized gold price. However, this was offset by lower copper revenues due to lower production at Batu Hijau, with the realized copper price essentially flat. We had a net increase in working capital of $377 million due to $100 million increase in stockpile and leach pad inventory on hand and a similar increase in doré and concentrate receivables on hand at quarter end. And finally, the balance of the working capital change was due to a decrease in accounts receivable of almost $200 million in early 2011 related to the collection of late fourth quarter 2010 concentrate sales from Batu Hijau. More detail on working capital changes can be found in Note 22 on Page 24 of the 10-Q. Slide 8 outlines the drivers of the 11% increase in CAS from the year-ago quarter. The higher realized gold price added $16 an ounce due to highest [ph] workers' participation in Peru, an increase in royalties tied to the gold price and the higher allocation of cost to gold from copper at Batu Hijau and Boddington where we allocate operating costs on a coproduct basis. Higher spending added $12 an ounce largely in the form of higher labor and contracted services. Byproduct credits were $10 an ounce lower, largely due to lower silver price and also lower silver volumes for the quarter. Higher-than-assumed diesel costs added $9 an ounce, with a stronger-than-assumed Australian dollar adding $7 an ounce net of hedge credits. And finally, lower sales volumes due to the lower production at Batu Hijau and an increase in inventory on hand added about $9 an ounce. You should expect a renewed focus on cost reduction going forward. When we think about costs, we think about them across the entire product life cycle, from exploration to advance projects, operating costs and G&A. Look for more details on our efforts in this regard at our Analyst Day to be held in New York on May 23. Turning to Slide 9, we continue to return capital to shareholders through our gold price-linked dividend policy. Based on a realized gold price of $1,684 for the quarter, the board approved a second quarter dividend of $0.35 a share payable on June 28 to holders of record at the close of business on June 12. The dividend represents an increase of 75% from the year-ago quarter and a resulting yield of approximately 3% based on today's share price. Finally, I would like to take a minute to comment on our capital structure in light of our very successful debt capital market transaction in March. First, a quick bit of history. In 2011, we repaid $217 million of our 8 5/8% debentures and completed the Fronteer acquisition for cash outlay of approximately $2.1 billion. The first quarter of this year, we repaid $517 million in convertible senior notes and $105 million in debt related to the refractory ore treatment plant in Nevada. With interest rates at near record lows, we decided to access the debt capital markets to refinance some of that debt we had retired over the last 2 years, and at the same time, to term out our debt profile. We raised net proceeds of just under $1.5 billion due in 2022 at a pretax cost of 3.5% and just under $1 billion due in 2042 at a pretax cost of 4 7/8%. The debt raising provides significant financial strength and flexibility to deliver on our growth profile through a combination of strong operating cash flows in the current gold price environment, cash on hand at the quarter end of approximately $2.6 billion and a solid investment grade credit rating. With that, I'll turn the call over to Gary Goldberg, our Chief Operating Officer, to discuss the regional performance in more detail and to provide a project update.
Gary J. Goldberg: Thanks, Russell. From a safety perspective in the first quarter, we incurred 6 serious injuries and no fatalities to our workforce. On Slide 10, you'll see that lower year-over-year production from our Asia-Pacific region was offset by increases in North and South America, while Africa's production was down slightly due to production of slightly lower-grade material in line with the mine plan. Those production impacts were reflected in our CAS, with APAC incurring the largest increase in CAS as we spread higher stripping costs, particularly at Batu Hijau across a lower production base. Turning to Slide 11, our North American production was 489,000 ounces in the first quarter, up slightly from a year ago due to new contributions from underground mining at Exodus and Pete Bajo in Nevada, along with higher leach placement at La Herradura and the start of production at Noche Buena in Mexico. CAS was $613 per ounce, down just slightly from a year ago due to lower inventory drawdown costs. Recall that a year ago, Newmont was in the final stages of remediation at Gold Quarry, so in the first quarter of 2011, we mined less material than in 2012. Looking to Q2, we expect to complete repairs at the Leeville vent shaft by June. Additionally, I'd like to remind you that the second quarter production is historically Nevada's lowest quarter, and it will be again this year, due primarily to annual scheduled maintenance at the Mill 6 roaster in Nevada, which usually lasts about 30 days. Over the last couple of years, it has been roughly 10% to 20% lower production than the other 3 quarters of the year. The impact of this downtime has been incorporated in the full year gold production outlook for Nevada of 1.725 million to 1.8 million ounces. Turning to Slide 12, you'll see an update on North American projects. At Emigrant, which is part of our Nevada expansions, we currently expect commissioning in July. Development of the Vista 7 vein at Twin Creeks is also on track, and we expect it to make a small contribution beginning in the second quarter. The Phoenix Copper Leach pad construction is nearly complete and ore placement has begun. Construction of the solvent extraction electro-winning plant is scheduled to begin in late 2012. Turning to Slide 13, I'll round out my discussion of Nevada growth projects with Long Canyon. Based on the work conducted by Fronteer, as well as our work since the acquisition, we continue to believe in our original investment thesis that Long Canyon holds the potential to grow beyond 3x to 4x Fronteer's estimates. We are confident because our drilling results, and you can see a plan view on Slide 13, has doubled the extent of the known mineralization from 1 kilometer to 2 kilometers along strike which, when you look on the slide, is in the northeast, southwest, upper-right, lower-left direction, along the length of the ore body, with mineralization remaining open along strike. In addition, a number of new targets which are outlined on here, dotted and dashed in red, have been generated that will be drilled in 2012. For 2012, we're planning to complete approximately 70 kilometers of infill, extension and district exploration drilling, with the objective of completing an associated pre-feasibility study to declare first NRM in conjunction with our 2012 year-end reporting. Finally, and importantly, we submitted our plan of operations during the first quarter to maintain our aggressive push-forward on the project, representing a major step in securing the necessary permits. The scope for this submission calls for both leach and mill operations. Turning to our South American region on Slide 14, Q1 attributable production of 201,000 ounces was 26% higher than a year ago as we processed some higher-grade material from the El Tapado pit and it's also in alignment with our mine plan, which more than offset some lower leach pad production during the quarter. CAS decreased with higher production, partially offset by higher labor, diesel and workers' participation costs and lower silver byproduct credits. Moving to Slide 15, our Asia-Pacific region delivered 442,000 ounces of attributable gold production in the first quarter. This was down 15% from a year ago due to lower production at Batu Hijau, which I've already discussed, and combined with no maintenance at Kalgoorlie and Waihi. We also need to mention that Boddington in the first quarter production was lower than planned due to an extended mill maintenance shut and a subsequent conveyor drive motor failure for a day that decreased our production for the quarter. This is not anticipated in the further quarters. Both the higher gold and copper CAS of $774 per ounce and $1.98 per pound, respectively, were a function of lower production and higher mill maintenance costs that I just mentioned. At Batu Hijau, we recently experienced the pit wall failure that limits access to the bottom of the mine. However, Batu is currently in a stripping phase and we are processing stockpiled material, so this does not cause any immediate production impact. As a reminder, since Batu is currently in the stripping phase, it is a very small contributor at less than 1% of our overall gold production outlook for the year. At the Tanami shaft project in Australia, construction of the camp is complete and we're in the process of finalizing vendor selection for the new crusher and we've awarded the underground mine development contract. Turning to Slide 16, we've summarized first quarter performance at Ahafo in Africa, where production of 175,000 ounces was down about 6% from Q1 2011 due to mine sequencing that I mentioned earlier. CAS was $568, up from a year ago due to lower production and higher direct mining costs, along with an increase in royalties and taxes related to higher gold prices. Turning to Slide 17, you'll see an image of construction on the ball mill and SAG Mill foundations at the Akyem project in Ghana. Construction is progressing very well. We've recently poured first concrete at the primary crusher, started work on the conveyor quarter, poured the final floor sections of the mine services area workshop and completed the reclaimed tunnel slab core. We received approval to start pit clearing and work on the pit area and pit access roads which began in February. Meanwhile, we are currently advancing some additional projects in Ghana, including expanding the Ahafo mill and the Subika underground expansion, as well as conducting some exploration regarding the mineralization below the planned Akyem pit and in the Ahafo north area. I'd like to now turn the call back over to Richard.
Richard T. O'Brien: Thanks, Gary, and thanks, Russell. I'll wrap up by reiterating that execution has been and will continue to be job #1 at Newmont. And what do we mean by execution? We mean delivering safely on our goals for production, costs and capital. We also mean bringing projects into production effectively and efficiently. We believe firmly that our commitment to execution, paired with an emphasis on capital returns, both of and on capital, sets us apart in the industry, and we absolutely expect this focus to continue. Thanks for listening to the call. And operator, we'll now open it up for questions.
Operator: [Operator Instructions] Our first question from John Bridges, JPMorgan.
John D. Bridges - JP Morgan Chase & Co, Research Division: Just wondering if you could sort of give us a little bit of guidance as to what sort of the changes in the plan in Peru at Conga could -- how big a change in cost could that have?
Richard T. O'Brien: John, that's precisely what we're evaluating. Just to put it in the context, as we are going through this review, which I expect will take a bit of time, we're evaluating both the technical aspects. And as I said, the first thing to recognize is that the EIA that we did, did meet all the technical requirements for its approval and did conform to both international and Peruvian standards. So we will continue to evaluate the recommendations around things that we should consider. When we evaluate that, we'll look at 2 things, both how it impacts the timing of the Conga project, as well as the cost. So that's something that we're in the process of evaluating. And recognizing that we just received the report last week, we're still in process on that. But I guarantee you, John, when we go through this, when we get to the point where we know what the cost structure would be, we are going to look at the economics of this project, just as we've said, and we feel that we have other options in the portfolio should those economics turn out to not be favorable and that's something that we could not go forward with. That said, that's not where we are today. We continue to evaluate.
John D. Bridges - JP Morgan Chase & Co, Research Division: And you've got a dividend to maintain as well?
Richard T. O'Brien: We do, and we feel absolutely good about maintaining that dividend with or without Conga.
John D. Bridges - JP Morgan Chase & Co, Research Division: And further on that, on the cost side, I see you've made a bit of progress there. Any areas that you feel you can focus on to better control costs?
Richard T. O'Brien: Yes, I think as Russell said, we have a number of areas where we are going to focus, and I think it goes right on through, as we look at the opportunities that we have in the world today, I think one of the things you're going to see is us focus more on select opportunities and really continue to build the early stage of the pipeline. But looking at exploration of the advanced projects, we probably will have some opportunities in that as we go forward even this year to reduce capital, yet not impact the plans that we have, and I'd say right on through project construction, where we are going to be looking in particular at our overheads, as well as the project teams that we have in place. And then right on through in the G&A, and when I say G&A, I mean the corporate-wide structure both in Denver and around the world to see where we have duplication. We have been investing, as we have talked about, in new systems. Our SAP rollout will be completed by the end of the year. We will be incorporating savings going forward from that as we look into our 2013 budget process and cycle. And in that plan, I fully expect that we will see costs come down across the company.
John D. Bridges - JP Morgan Chase & Co, Research Division: And just finally, with this change to some of the Canadian reporting companies to IFSR (sic) [IFRS], then they seem to have more flexibility now on how they report costs. Would it be possible to get a bit more information on strip ratio so we can sort of better compare your costs with some of those guys?
Russell D. Ball: John, it's Russ. Yes, clearly, under U.S. GAAP, we have, as you, I think, alluded to, less flexibility around that reporting. We are looking at providing more information around an equivalent to a 43-101. We're working through some of the legal issues related there, too. We will endeavor, and John's group has been working on this to provide more of that color to let you guys do a better job modeling perhaps at our Investor Day on May 23. So you should look for more granularity around the projects on May 23. It probably won't get us all the way to where you'd like to be, but it'll certainly get us further than where we are today.
Operator: Our next question from David Haughton, BMO Capital Markets.
David Haughton - BMO Capital Markets Canada: Yanacocha had a pretty good result going through the mill. The milling rate was well above what we thought on the grades. What should we be thinking about that going forward?
Gary J. Goldberg: Yes, David. It's Gary Goldberg here. We had higher grades in particular in the first quarter, and that was expected. Little better results and what might have been modeled at the one pit, but right now, we're still looking at staying within the guidance that we provided.
David Haughton - BMO Capital Markets Canada: Okay. And the nameplate of the mill was around about 6 million tons per annum, but it seems to be overachieving. Should we -- is that just the softness of the ore at the moment? Or is that, that you've de-bottlenecked it so that we can see sustained good throughput?
Richard T. O'Brien: It's Richard, David. We have had success at that mill from really the day we started it to actually get over nameplate and maintain it there. And I think it's a combination of both the ore quality, but also, we have done a significant study over the last year or 2 on a business excellence study to get more throughput. And that's true of our mills around the world, but this is one where we actually see it in practice every day.
David Haughton - BMO Capital Markets Canada: Okay. And I guess philosophically from the point of view of Conga, one of the appeals, I guess, of Conga was that it's like a trial mine of potential sulfides below Yanacocha. Where does the Yanacocha sulfides fit in all of this? Is it just still too nebulous for you to be thinking about it?
Richard T. O'Brien: Yes, so let me take that. Actually, what we said about the Conga project was that it was going to help get us more into copper, and it does have the quality of both copper and gold in a larger porphyry. It is a different deposit though than Yanacocha. This is a typical sulfide deposit -- or copper porphyry, rather. And when we're talking about the deposits below Yanacocha, it's significantly different in that it is a deposit which is going to require more technical work for us to assess the commercial practicability of actually producing that. And what I would say is, as we review Conga, we are reviewing all of our investments in Peru, including those potential deposits. So all of that is something that we're looking at, at the moment. And as we get to Investor Day and beyond, we'll keep you informed as to what we think of the prospects of those. So I think it's both timing and, as we've said, technical feasibility for those, so we'll keep you informed.
David Haughton - BMO Capital Markets Canada: Switching back to Nevada, most of the work appears to be focused on Long Canyon. Has there been any work undertaken on Sandman or Northumberland that was also picked up with the Fronteer package?
Grigore Simon: Yes, this is Grigore Simon. Most of the focus is correct to – is at Long Canyon. At Sandman, what we are doing, we are moving the project into the pre-scoping and scoping phase, so we will be spending a bit more time there. As far as Northumberland is concerned, we are evaluating options in terms of further exploration progress, but we really didn't spend a lot of time there last year. And this year, it's a pretty small program overall.
David Haughton - BMO Capital Markets Canada: Given the work on Sandman, is it -- is there potential for it to be brought on stream before Long Canyon?
Grigore Simon: Right now, honestly, I don't see how that one would happen because Long Canyon, it's -- looks much more prospective. So we will -- in the portfolio context, we will be pushing Long Canyon faster than Sandman at this stage. But again, it doesn't mean that we are not going to move along Sandman. It's just that it's not going to move at the same pace.
Operator: Our next question from George Topping, Stifel, Nicolaus.
George Topping - Stifel, Nicolaus & Co., Inc., Research Division: Boddington was a little bit worse than we were expecting. And it looks like the grades fell 10% from Q4. Can you talk about where you see grades and production for Boddington through the remainder of the year, please?
Gary J. Goldberg: Yes, we do -- this is Gary again. George, we do see grades down from last year to this year, and that was built into our forecast for the full year production at Boddington. The challenge this past quarter was really mill throughput. We do a combination of some stockpiling there to ensure we get the good grades through the mill. But really, the issue this quarter was around an extended mill shut that went longer by 2 days than what we expected and the conveyor failure that we had with the motors. So don't expect that to continue. And actually, there's been quite an effort going on there, as Richard mentioned, in terms of the mill capacity work that's been done around the group. A lot of work has been done at Boddington to focus on making sure we get that whole mill production process up to speed, and we're really trying to push to make sure we can achieve what we believe is nameplate or maybe a little bit beyond here through the rest of this year.
George Topping - Stifel, Nicolaus & Co., Inc., Research Division: All right. Are you looking at not having bounced back so far in Q2?
Gary J. Goldberg: I'm sorry, a what spike?
George Topping - Stifel, Nicolaus & Co., Inc., Research Division: Are you looking at Boddington production improving through the month of -- has it improved in April?
Gary J. Goldberg: I'm sorry, yes. We look at Boddington's production without the mill shutdown in place getting back in line with what we'd expect for the full year.
George Topping - Stifel, Nicolaus & Co., Inc., Research Division: All right, good. And then another question is on -- this is more -- this for financial, it's the dividends to noncontrolling shareholders. There's none in the Q1. Is one being made subsequent to the quarter, or was there none required to be paid?
Russell D. Ball: No, George, this is Russ. Yes, those -- that line that you see reflected in the financials is largely the dividend paid out of Batu Hijau. We have not declared one. We generally do it annually and do it towards the end of the year, so you shouldn't expect to see something until probably the fourth quarter.
George Topping - Stifel, Nicolaus & Co., Inc., Research Division: Right. This is the noncontrolling interest?
Russell D. Ball: Yes, that's for the, effectively half of that project that we don't own.
George Topping - Stifel, Nicolaus & Co., Inc., Research Division: Right, yes, okay. And then just while we're on Indonesia, if you could fill us in on the -- how the political risk is evolving there. Because I noticed that's one of the areas where you are considering to invest more.
Richard T. O'Brien: Yes, I'll start. It's Richard. So I think the political risk in Indonesia -- we've been operating in Indonesia for quite some time. As you know, we've been going through a divestiture process over the last several years. And as a result of that, we have almost continuous interaction with both the local community, who have an interest in the current shares that have been divested, as well as an interest in the potential shares. The central government, who is the buyer at least at the moment for the 7%, and we hope that, that will close sometime in the next few months. I think as we see that 7% close, I think we will then be through the divestiture issues and then solidly into what does the rest of Indonesia look like. We think Indonesia continues to be prospective within our contracted work. We are continuing to explore it along, which we think has potential to be similar to Batu Hijau in terms of its output, but probably, twice as big and half the grade, so obviously dependent on economics. But we continue to look at that. Why? Because we believe that the political situation in Indonesia continues to support mining. We do have a contract of work, and the government has indicated that they would like to see certain forms or provisions of that change, including the potential for refining more copper product in Indonesia. And what I can tell you is that the one refinery that is available in Indonesia to process is full. So we continue to work with the government on what we're going to do next. If that's really what's going to happen, somebody's going to have to construct a refinery. So what I'd say is the dialogue with Indonesia continues to be a dialogue. But I'd say generally, it's been constructive. We have worked through the issues. We've been there quite some time. I think on the ground, we provide meaningful jobs and meaningful revenue to the government, and we continue to be cited as one of the most environmentally and, I think, financially, in terms of filing our tax returns and paying on time, of any mining company in Peru -- so I think -- or sorry, I meant in Indonesia. But you could also say that in Peru. So we continue to be positive, I think, about Indonesia. No question, we've got to keep an eye on what's happening there, and elections are going to be coming up there in the next couple years as well.
Russell D. Ball: And George, just adding to Richard's comment, the additional investment we've contemplated on and off over the last decade is around a third SAG, so a mill expansion at the existing operation in Indonesia. And then just further on the exploration, we approved yesterday an unbudgeted request for $20 million for helicopter-supported drilling at Elang, which will give you an indication of our perspective on that risk profile.
Operator: At this time, I'd like to turn the call back over to Richard O'Brien, President and CEO, for closing comments.
Richard T. O'Brien: Thanks, everybody, for taking some time Friday morning to attend our call. And if you have questions, I know John and his team would be more than willing to take them, and we look forward to seeing all of you and even some people who aren't on the call at our Investor Day. Thanks.
Operator: This concludes today's conference. You may disconnect at this time. Thank you for your participation.